Operator: Welcome to the Globalstar, Inc. Third Quarter 2015 Earnings Conference Call. My name is Beyanka [ph] and I'll be your operator for today's call. At this time all participants are in a listen-only mode, later, we will conduct a question-and-answer session, please note that this conference is being recorded. I will now turn the call over to your host Mr. Jay Monroe Chairman and CEO. Mr. Monroe you may begin.
Jay Monroe: Good afternoon everyone and thank you for joining the third quarter earnings call. I’d like to start today’s call by welcoming Kenny Young as the newest member of Globalstar’s Board of Directors. Kenny joined us from LLC, where he served as President and CEO. LCC is the world’s largest independent wireless infrastructure engineering and services company with over 8,000 employees operating in 51 countries. Penny is going to be a significant asset for Globalstar as we continue to build up the company’s geographical presence in consumer and B2B distribution channels and will be a valuable resource as we evaluate PLPS infrastructure and partnership opportunities. On today’s call I’ll provide an update on both the regulatory and operational front followed by a review of the quarterly financial results provided by Rebecca. We’ll then conclude with Q&A where Tim Taylor will join us. Please note this call contains forward-looking statements and tended to fall within the Safe Harbor provided under the security laws factors that could cause results to differ materially are described in the forward-looking statements section of today’s press release and in Globarstar’s SEC filings. The activity in the TLPS proceeding was comparatively mile during the summer months of July and August, but the milestone event for the quarter was our submission of a seminal ex parte filing in early September. This filing provided a summary of TLPS testing over a three month period in Chicago testing conducted by our technical advisors Roberson and Associates. While there has been extensive data submitted into the record to-date this filing was the first to highlight the capacity expanding opportunity in a real world uncontrolled RF environment precisely what the SEC asked us to do. To summarize the data in our 40 page ex parte by adding TLPS to existing 2.4 Wi-Fi networks. The client devices involved in the demonstration experienced increased aggregate throughput or capacity in excess of 90%. Said differently, the addition of a single clear channel can carry as much traffic as the other three channels combined. Importantly 90% was not the throughput increase for only those users that move to channel 14, but rather the average increase for all the users including both those that remained on the current channels 1, 6 and 11 and those that moved to channel 14. Clearly the public interest is served best when all the users benefit from an opportunity, those who continued to use their Wi-Fi as they always have and those that elect to use TLPS. For every single user that uses TLPS there is a clear and immediate benefit to those who do not. This is perhaps the clearest win-win scenario imaginable. The results of this demonstration are representative of what happens when TLPS is deployed in high consumption educational environment with data intensive users operating in close proximity. The baseline [indiscernible] was established by measuring the aggregate network throughput when only Channels 1, 6 and 11 were available, then we tested what happens when channel 14 is integrated into the existing network and a subset of those users migrate to TLPS. Of course, adding another channel does not in and of itself increase the pool of users in any given area, it simply redistributes them differently. On one hand these results are unsurprised the same number of users are spread over more spectrum. On the other hand the results were dramatic, because the three conventional channels which were being impacted by a whole host of normal Wi-Fi interference sources were operating simultaneously with channel 14 which is comparatively clean, and this resulted in roughly half of the total traffic flowing over channel 14, this dramatically increased performance on channels 1, 6 and 11 thus immediately reliving Wi-Fi congestion on those regular channels. These results demonstrate the essence of opening up additional channels for terrestrial broadband and it is in line with what will occur in practice in a TLPS enabled network. More spectrum equates to less congestion on the currently available frequencies since the same number of users are spread over more channels. This issue is actually just as simple as it sounds, despite the oppositions best attempts to skew it, those who continue to argue that other unlicensed services will be harmed by TLPS operations on channel 14 or either completely misinformed or simply not intellectually honest. The September filing and the early test at the FCC will meant to address any lingering concerns regarding interference claims and it comprehensively did so. Simply look at slide 10 which shows the operation of all 4 channels when fully loaded with traffic, as you would see harmful interference between channels 11 and 14 is just nonexistent. In our ex parte, we also submitted additional information regarding our planned network operating system or NOS. Among other benefits exceeding [ph] our carrier rate and implementation then NOS perform two primary functions. First, it will authenticate and manage on to and off of the TLPS network. A greater importance to this proceeding though, that we believe we provided overwhelming evidence that TLPS will have no negative impact on other licensed or unlicensed services, this NOS will also have the capability for existing corporate operators or regular Wi-Fi users to provide notice to Globalstar of any claims interference the NOS will then enable Globalstar to quickly employ remedial measures like turning down the power in the given area, turning off Channel 14 entirely and moving the traffic on 14 to another channel and so on to the extent necessary and until the interference sources have been identified. This provides an extra measure of continuing protection for licensed and unlicensed services and will ensure no detrimental impact. Given the dramatic consumer benefits immediately available through TLPS operations on 14, [indiscernible] as no surprise that we were more than willing to commit in our September filing, not to deploy LTE-U in the 2.4 GHz band until and only if the SEC permits such services in unlicensed spectrum. The consumer benefits discussed today and in the filing are made immediately possible by the established ecosystem of billions of 802.11 devices with chipsets capable of delivering services over Channel 14, so 802.11 is what we’ve decided to use. To summarize, this September filing was intended to provide additional information and raise the comfort for our plan to rollout TLPS to the public. We further confirm that TLPS benefits with detailed data as opposed to the [indiscernible] falling non-fact based claims from competitors. Competitors are attempting to maintain the status quo, even when there will be a direct benefit to all users, including their own users who operate in 1-6- 11 by TLPS helping to relieve congestion and offer a competing service. You may have seen the Chairman and we lived together night on Charlie Rose, his mantra was competition, competition, competition, this is exactly what TLPS offers. While the opposition has responded in our filing and ways it’ll become all too predictable and repetitive, failing in most cases even acknowledged the detailed customer results gathered to-date, we believe the substance of the report is fundamental highlighting the consumer value of this opportunity. We have fully responded to all concerns with many of our owned detailed filings but we have no plans to respond the filing which were going to take issues already fully addressed by the company. I’d note one major technology company it’s a store composition to us, was [indiscernible]] way by the Chicago results in the subsequent filing that is now – in its own [indiscernible] today to the dramatic benefits of TLPS. To put it as nicely as I can, while we clearly have a different view than that company on how to implement TLPS, we have at least find the common ground with them on the consumer benefits of this service. And we will continue to show dramatic benefits in real world deployments including at the Washington School for Girls in D.C., the student there have been using TLPS on a daily basis for their classes, enjoying more 2.4 [indiscernible] capacity than anywhere else in the entire country [Indiscernible] having four channels. Initial results showed both the material increase and downlink and uplink capacity were showing no harmful interference with any existing services. Additional updates and information on this deployment will soon be disclosed into the record. While final order timing is not known with precision, I know that we have a dedicated team on this effort with the finest technical regulatory and legal talent, I’ve ever had the pleasure of working with, I’m proud of the work and have complete trust in their advice and their effort. TLPS has proposed by the FCC in its 2013 NPRM is a good policy with tangible benefits for consumer broadband and provide some more intensive use of Globalstar spectrum. Note that the fastest way to obtain notice of Globalstar filings into the record is via our at GSATNews twitter handle. Moving to the operational front, shortly for the quarter ended on October 24, we met a very special and important milestone when we recorded our 4000 rescue from SPOT services. The details of the rescue are noteworthy and we are proud of have been a part of this save. On that Saturday in the [indiscernible] County Alabama, Michael Herrera, a retired firefighter was operating alone on his dirt bike when he took a bad fall, although [Indiscernible] with the broken collarbone, three broken ribs and a punctured lung, he reached for his SPOT 3 and pressed the SOS button, within 30 minute an ATV and ambulance were onsite to transport him to the hospital, after surgery we’re happy that Michael is recovering and we wish him the very best for a full and speedy recovery. Now averaging approximately two states per day we are proud to be providing the world with the service that has lifesaving impact for thousands in the life saves grow by two a day. With new SPOT products that will not just provide incremental features to the latest models, but we’ll make fundamental functionality additions, we look forward to a significant ramp in our SPOT business next year. As many of you are following closely we are just months away from completing the testing of our upgraded ground system in North America, other regions will be completed next year when the new ground service will be commercialized. Leveraging these efforts and converting the potential of the new ground capabilities into tangible new products is a team of engineers, designers, software and firmware talent. The products we are working on internally are as close to revolutionary as anyone has ever experienced in the satellite world and everyday we are increasing the relevance of our products and improving the most substantial limitations to consumer and commercial adaption, which are cost, size, functionality and data speed. Many of these new products are dependent upon the completion of the second generation ground network, today we have finished the installation and reacceptance [ph] work for this [indiscernible] equipment in North America and the European gateways over the year testing is ongoing for some time, North America will largely be completed within months with second generation products in market, in time for the seasonally important midyear 2016 selling season. The second gen network has been upgraded to significantly increase data speed, but as per speeds will come with lower product prices allowing communications across the world’s most remote areas to be expanded. We will continue to offer award winning and economical SPOT and Simplex products, but with some very new and very cool twists. The first half of next year will be exciting time on this front. Looking at the operational data during the quarter we are pleased to see continued growth in market adaption for Duplex and SPOT products throughout, both North America and in our non North American markets. It’s been over a year since our increased efforts are brought to shape and now it’s a good time to assess progress. Year-to-date for 2015 versus 14 Duplex and SPOT growth additions in these non-North American markets are up Q3 15 versus Q4 15, 26% and 41% and year-to-date they are up 118 for Duplex and 59% for SPOT, these markets now account for one fifth of our total worldwide subscriber base and we have form our view that will grow the 50% in the next three years. North American performance is also more than stable with growth additions over the last year’s Q3 for Duplex, SPOT and Simplex as we look ahead for our growth opportunities we drive three key initiatives global expansion including further built out in South and Central America, Africa and Asia. New product introductions driven by the second generation ground transition and three further penetrations in our core markets, having added 67,000 net subscribers or approximately 10% of our subscriber base over the past 12 months and while the dollar was headwind, we are fundamentally expanding addressable markets for MSS and believe growth will accelerate in the quarters ahead. Thanks and I will now turn the call over to Rebecca to discuss the quarter’s financials.
Rebecca Clary: Thank you, Jay and good afternoon everyone. As Jay mentioned, we continue to experience significant growth in our subscriber base, driven by expansion in new and legacy international markets and attractive equipment pricing. Today, I will go over the primary factors impacting our key operating metrics and will also provide an update on our liquidity positions. First, as shown on slide 13, total revenue increased slightly compared to the prior year’s quarter. We continue to show meaningful growth in our subscriber base [Indiscernible] reported this increase, however although average Duplex, SPOT and Simplex subscribers increased substantially by 18%, 11% and 12% respectively as compared to the third quarter of 2014 continued pressure on revenue from currency effects and a decrease in equipment selling prices has offset this growth. Total service revenue increased 6% during the third quarter of 2015 compared to the prior year’s quarter driven primarily by higher service revenue from our SPOT subscriber base, which grew a 11% on average from the third quarter of 2014. Growth SPOT subscriber additions in market outside of North America which were up over 50% during the last 12 months ended September 30, 2015 compared to the prior year period propelled this growth. Additionally a 6% increase in SPOT ARPU also added to the increased SPOT service revenue, this increase which driven by the higher price tracking feature introduced with our SPOT Gen3 device at subscribers of this latest SPOT model have now doubled since the third quarter of 2014. Duplex service revenue which decreased 300,000 from the prior year quarter continued to be burdened by the strengthening dollar, there were no change in exchange rates since the third quarter of 2014. Duplex service revenue would have been $800,000 higher in the third quarter of 2015. Duplex revenue is particularly sensitive to foreign exchange rate fluctuation as nearly half of the billings are denominated in a foreign currency. To help illustrate this point, our Canadian subsidiaries Duplex service billings in Canadian dollars increased 20% from the third quarter of 2014, yet the reported revenue in US dollars would stay on 6%. Partially offsetting the negative impact of currency value changes with an 18% increase in our average Duplex subscriber base, continuing to drive this increase in subscribers, our lower equipment prices in core markets as compared to the prior year and continued international expansion. Also because the majority of our new subscriber have been selecting prepaid plans with much of the associated revenue being deferred until contract expiration. An increase in subscribers during given period is not necessarily commensurate with an increase in recognized revenue during the same period. For instance, if our Duplex subscriber base with on the same rate plans that are based in the third quarter of 2014 that is to stay with a higher percentage of monthly plan subscribers. Duplex service revenue would have been approximately 700,000 higher and ARPU would have been $3 higher in the current quarter. Revenue from subscriber equipment sales decreased 900,000 in the third quarter of 2015 from the prior year’s quarter. Over 75% of the decrease was due to lower Duplex equipment revenue, which was driven by a reduction in the selling price of our handset in early 2015. Our objective in lowering the selling price of our mobile units was to reduce inventory in advance of the introduction of our second generation products, while also adding high margin Duplex service revenue. Our global sales team has been successfully accomplishing this objective measured by the 54% increase and the number of selling sales during the first nine months of 2015 compared to the same period in 2014. Net income decreased $105 million from the third quarter of 2014 to the third quarter of 2015 due primarily to a $113 million decrease in a non-cash gain recognized from a change and derivative liability values between a respective periods. As noted on this call now, our balance sheet includes derivative liabilities we recorded in connection with certain borrowing [indiscernible]. These derivative values can fluctuate widely based on various inputs, but primarily are driven by changes in our stock price. Our total derivative liability is significantly lower than one year ago and therefore so we’re gained or losses incurred from valuation changes. Offsetting the impacts on the decrease and derivatives gains with a non-cash reduction and loss on extinguishment of debt, because there were no conversions during the third quarter of 2015. Adjusted EBITDA decreased 300,000 during the third quarter of 2015 compared to the third quarter of 2014. This decrease was driven by higher total revenue of 200,000 due to the factors previously discussed offset by a 500,000 increase in operating expenses excluding EBITDA adjustments. The largest driver of the increase in operating expenses was an additional $1 million and bad debt expense recorded for a single reseller to its delinquent on its obligation. Although retailer’s entire receivable has now fully reserved we are pursuing our company offers. Higher subscriber acquisition costs also contributed to the increase in MG&A. Although any average cost per growth addition has not increased. Our enhanced marketing efforts including expanded resources throughout Latin America and Southern Africa in addition to give [indiscernible] for sales commission had increased expenses from the prior year. Lastly an update on the company’s liquidity position. As of September 30, 2015 we have liquidity of $88 million including an unrestricted cash balance of approximately $28 million and $60 million available under our common stock purchase agreement with Terrapin. We also continue to maintain approximately $38 million in a debt service reserve account, which is restricted to making payment towards principal and interest due under the COFACE Facility. As mentioned to you on our last call, we executed $75 million common stock purchase agreement with Terrapin during August 2015 and drew $15 million later that month. Our contractual obligations over the next 12 months include primarily debt service payments and amounts due to our ground vendors for work being performed to upgrade our gateway infrastructure to second generation. Debt service amounts increased semi-annual principal payments due under the facility agreement in December 2015 and June 2016, which totaled approximately $20 million, as well as semi-annual interest payments joined to the facility agreement and subordinated notes which in aggregate are also estimated to be $20 million. Our ground-related cash obligations are forecasted to be $14 million during the next 12 months. We expect the funding contractual obligations for a combination of cash on hand, operating cash flow and draw to our Terrapin agreement. In summary, we continue to focus our efforts on expanding the business, both domestically and abroad. Our efforts are being reflected in higher activations and a growing subscriber base. We are optimistic that our subscriber growth will continue as an upper trend in the volume of equipment sales specifically a preference of our future activations. Although our recent subscriber growth has not resulted in proportionally higher service revenue due to foreign currency changes and the timing of revenue recognition for certain rate plans. We expect service revenue growth in the future. We are making decisions for the long-term in the area that we can’t control and expect that our efforts now will have positive impact on our future operating results. I will now turn the call over to operator for Q&A.
Operator: [Operator Instructions] And our first question comes from Jim McIlree from Chardan Capital. Jim please go ahead.
Jim McIlree: Thank you and good evening everyone. 
Jay Monroe: Good morning
Jim McIlree: Jay you’ve talked about – I don’t know if you call that test or a demo at the Washington School for Girls, is this the last one that you think you are going to have to do or do you think are there more lined up, more test lined up like this?
Jay Monroe: Jim, there are not more test lined up at this time and we don’t even necessarily have to be doing the test there and it’s a very convenient location for policy makers and others who have wanted to see this live, so it was a logical place for us to do it, but no, we don’t have plans for a more demonstrations at this time and we don’t think that they are necessary to the FCC process either.
Jim McIlree: Are you aware at the FCC to ask any of the opponents of TLPS to do their own test something similar environments to demonstrate that all of the negative features they claim TLPS’ actually occur?
Jay Monroe: Anybody who really has significant complaints that wanted to test that could have easily tested over the last two years, none of them did so, you can query why they wouldn’t, but the obvious answer is that by testing they would just demonstrate what they don’t want to see. Clearly the FCC would have entertained test have they been done by anyone, but simply nobody did that and you have to question the motivations for why they did not.
Jim McIlree: Can you help me understand why this had taken so long, I have never seen a process they [indiscernible] with FCC, and it just makes the question, what in the world are they objecting to that, but decisions has been made yet and this is almost going on [indiscernible]?
Jay Monroe: Well certainly these processes take different length of time in many cases, you can talk about the process that we are involved in now, as being something that lasted for multiple years, but in reality it was posted into the public record in February of last year. So, viewed from that perspective the processes only been out in the open and ripe for people to entre comments and do things into the record, for something like 18 months. So, I think that’s the real period of time and in the world of FCC when someone is talking about an important decision like this one and they take on and when you consider intervening processes that were going on at the FCC particularly the Comcast Time Warner merger and then the AT&T, Direct TV merger. The auction that’s in place last year and 600 auction which is very complicated this year. The FCC takes gets preoccupied with a lot of complicated issues and sometimes something that we consider to be this important is not first on their list. These are all people that are trying hard to do a good job and sometimes it just takes longer than we in industry would like it to take, but I don’t think it’s from a lack of trying, and I don’t think it’s really too long, it’s just a watch part, never boils matter for you, and we’re sitting around the edge of that part steering at it at the whole time.
Operator: Thank you. And our next question comes from Jason Bernstein from Odeon Capital. Jason please go ahead.
Jason Bernstein: Hi guys. In a few of these preceding most notably LTE-U the FTP is everything we want the industrial players to try and find some consensus we’re going to stay out it for now and hopefully we don’t want to get involve as we don’t have to. Do you think the delay could have something to do with hoping that you guys I mean our position reach un-consented similar to the five gigahertz preceding and if that is a potential reason for the delay? Is there any hope of that taking place here?
Jay Monroe: Jason as you look at the period over the last year, we went from having very significant technical complaints registered in the preceding to almost a completed mission now, but that is not the case. We really firmly believe that there was never any harmful interference, so Wi-Fi standard and I think everybody understands how the Wi-Fi standard works kind of rewind so the question that was asked a moment ago about why people didn’t do testing. When we got together as a group in the kind of process that you were describing at the tail end of last year the FCC said we’ll look, if everybody can’t reach common understanding, let’s do a little bit of testing and all agreed that that testing should take place at the FCC. A testing took place in March and again in April, the first being the test results, some of which were in the presentation today by the way I misspoke on the page, I said 10, but page 4 shows the waterfall that was tested in the FCC in March. Then the FCC did its own testing in April, we augmented the record with this major filing in September and basically speaking people have stopped technically arguing about interference and issues like that, so we have made substantial progress during the last year, the last filings into the record were predominantly policy filings and Google made one of those, but – was just that, it was a policy filing, because technically they acknowledged that, well I guess they didn’t technically acknowledge, but they acknowledged that the benefits to the consumer were clear and obvious. So we have engaged many of these companies as we have told you in the past, there are competitive reasons for them to ones that slow down TLPS, they’ve offered their own services, they offer Wi-Fi first services, we would certainly have a better, cleaner Wi-Fi first service and we have compromised continuously by doing things like refining the network operating system moving away from LTE-U and so forth and we think all of those things have been powered and therefore that this process will likely wind-up in the near-term. Will there be another meeting that the FCC request with the parties in the room again another time, I don’t know, but I don’t think it’s really necessary at this point, the FCC has all of the information that they need to make their decision.
Jason Bernstein: Thanks Jay and if I could follow-up on – some of the testing questions, just to clarify the demo at the FCC representative that the opposition sent. They were allowed to have the room to themselves and do a setup however they wanted to, is that correct?
Jay Monroe: That is correct, they could setup a protocol and test to that protocol, they did that, I think the FCC looked at the protocol that they wanted to test when they saw it live and asked the question everyone in the room, why would you test like that, because of the way that they expected out, as I understand the representative that was their set well that’s because that’s the test we filed with you that we were going to do, but that was not considered to be a very valid test by the FCC, along in the short of it was they were given absolute [indiscernible] access to come in and work for days, we were there for a week straight and able to setup anything, anybody wanted to test in an any environment and we did a lot. The other side did not actually do very much and that showed when they made their filings, some of which were they called in conclusive and much of the data from that side was never released to the public, as you know we released our data nightly everyday when we finish the tasks. Then the FCC did their own tasks, which were characterizing access points and so forth a few days later in April and they filed a report of some 100 pages at that point on the testing that they did as well. I don’t think anybody took issue with what the FCC did. So it was a substantial amount of testing that went down.
Jason Bernstein: Okay, great, appreciate it. Thank you.
Jay Monroe: Welcome.
Operator: Thank you. And our next question comes from Kevin Roe from Roe Equity Research. Kevin please go ahead. Your line is open.
Kevin Roe: Thank you. A couple of questions for Jay and one for Tim. Jay OET at the FCC what’s your sense of what they’re doing right now? Are they still pouring through data or they asking you for more data, this new test it’s going on at the Washington school for girls in DC. Are you collecting data there and giving it to them for review just – if you could give us a sense if the engineers are still busy at OET?
Jay Monroe: Sure. Kevin when we got together with the FCC in at the tail end of 2014 and they asked us to do some demonstrations, the first one we just talked about a lot that took place in the FCC to the one in this summer at the University in Chicago, were all because the FCC said, please compile some real world information from us with TLPS in the while in normal uncontrolled RF environments and submit that information to us. So we did the test at the OET itself and then we did test in Chicago. We will file the information from the Washington school into the record here in a little bit and that is also unsure is something that the FCC appreciates receiving. We expected FCC members will go to the school and observe it alive as well. As for the work that they are doing inside OET and we really don’t have director’s ability into that Kevin. They do their work in private and when they are ready to talk about it, they call us and we meet with them and then we file the Ex Partes, explaining what the meeting was about, we know that they are working, we just don’t know precisely what they are doing.
Kevin Roe: Okay, that’s helpful. On LTE-U, have you had any discussions with the cable industry post your willingness to not deploy LTE-U or has there been any feedback from the cable industry or the telecom industries any of the major players on that in regards to the preceding?
Jay Monroe: I have not had any conversations directly with them, but there have been some back channel conversations and I think it’s clear that they were very appreciative of the position that we took in LTE-U, they didn’t – they are worried about it and until it gets figured out by the FCC, we just did not want to be a part of that battle. So for us it’s a no-brainer and we’ve got the ecosystem that exist with Wi-Fi, it’s always will be intended to do and therefore we were pretty happy putting that on the record. So we think it’s helpful to them, we know that the network operating system is a huge help to all parties because it really means that for all times you got a solution that can help if something goes wrong from an interference perspective. I anticipate that we will get calls and say there is interference and when a call like that happens will turn down the TLPS from access points in that region and the interference won’t go away because it’s coming from something else that will never really be coming from us, but having that kind of comfort available to the FCC is a tremendous advantage and to other parties who will deploy services in other of the Wi-Fi is hugely helpful to know that there is a technical turndown mechanism if there is a ever a problem out there.
Kevin Roe: Thanks Jay and Ken, could you walk us through again the sources and usage of cash for the next 12 months, how much runaway does your $88 million of liquidity get you?
Kenny Young: Sure, yeah and so total liquidity including the DSRA is 126, taking the DSRA out you do get to about $88 million of current liquidity. For the rest of this year, there is $9 million of CapEx, total principle commitments are $3 million and interest is $10 million through December, so totaling $22 million at the end of the year. Looking out through the end of 2016, there is an incremental CapEx commitments of $5 million principle will total just under $33 million in 2016 and interest obviously variable based on 6 month LIBOR will total about $20 million. So total capital commitment in 2016 totaled $58 million, so combined with the balance for 2015 that’s about $80 million, $88 million of course of current liquidity plus we have operating cash flow which conservatively will be in $20 million or so, through December 31 of 2016 that totals $108 million. So in terms of excess liquidity on a projected basis at December 2016 that’s just under $30 million.
Kevin Roe: Okay, thanks guys.
Jay Monroe: Thank you.
Operator: Thank you. [Operator Instructions]. And we do have a follow-up question from Jim, Jim please go ahead your line is open.
Jim McIlree: Yes, thanks a lot and sorry about the last question, my phone dropped you. Jay, what’s plan B, what happens if the FCC comes back and they say we’re going to put this on the shell, so they come back and they say, yes, we’ll let you do it, but we are going to severely restrict it or [indiscernible] no. What you do at that point?
Jay Monroe: Jim, we are completely entirely focused on TLPS and so we are not really concerned about the FCC coming back and altering the approval and some fashion that makes it less usable nor walking away from it, it just too important for the FCC and now that they have seen the results, I believe strongly that they will approve it and relative near term now. The spectrum that we own never goes away and it never goes away globally. And so, if there is something else that we would want to do with other of our spectrum [indiscernible] in the future we can do that, but we are totally maniacally focused on getting this through the FCC and the TLPS format, the unique service, that will be a great service, eventually it will be a global one, just is too important, we will keep focusing on it every day.
Jim McIlree: And in terms of the global approval, can you update us on that [indiscernible] getting that accomplished?
Jay Monroe: Sure, I think as we have mentioned previously, we have been contacted by several countries around the world that are interested in having Globalstar applied for TLPS in their markets as well and our position with them has always been that we need to get through the U.S. first and then after the U.S. we’ll roll out to these additional markets. As you’re aware we have relationships around the globe. We have relationships in anyplace that we have service and more specifically in anyplace where we have gateways and ground stations and things like that and as a result we have good contacts in these countries. We are at the World Radio Conference now which is taking place in Geneva, and then we are having conversations there with delegates of many countries and socializing this a little bit further, but the good news is we have been receiving in bounce on the subject and we’re responding to each and every one of those. So we think it’s, after it goes in the United States there will be a lot of places in the world where the process will go pretty quickly we expect.
Jay Monroe: Okay, that’s helpful. Thanks a lot and good luck with everything.
Jay Monroe: Okay, well it looks like the last of the questions for the moment. Thank you all for joining today. We appreciate it and look forward to talking to you again after the yearend. Thank you all.